Operator: Good morning, and welcome to this TD AMERITRADE March quarter Earnings Call. If you have not seen our press release, you can find it on our website at amtd.com along with the copy of today's presentation. Before we begin the call, I would like to note that this call contains forward-looking statements that are made in pursuant to the Safe Harbor Provisions of the Federal Securities Laws. These statements involve risks and uncertainties and assumptions that may cause the actual results to differ materially from those anticipated. You are advised to review the risk factors contained in our most recent Annual Report on Form 10-K and our most recent quarterly report on Form 10-Q for descriptions of risks, uncertainties and assumptions related to the forward-looking statements. Management will be discussing some non-GAAP financial measurements such as EBITDA and liquid assets. You can find reconciliation of these financial measures for the most comparable GAAP financial measures in the slide presentation on our website. This call is intended for investors and analysts and may not be reproduced in the media in whole or in part without prior consent of TD Ameritrade. At this time, I would like to turn the call over to TD AMERITRADE's CEO, Joe Moglia, and host. Go ahead, please.
Joe Moglia: Jake, I have got to tell you that was by far the best reading of our Safe Harbor statement that I have heard at TD AMERITRADE over the last seven years, so, good job. And welcome, everybody. As far as our call goes, there was no other way you can describe this quarter other than it has been an incredibly difficult one for Wall Street in general. We've had issues with regards to liquidity and credit. We've had to go through some painful unwinding that is still on process of leverage positions in respective portfolios. The Fed has certainly been intimately involved. We've had 200 basis points of cuts in our funds rate. They have been very accommodative at the discount window, and they have certainly gone out of their way to be supportive and extraordinarily involved where they felt that that was for the common good. We've got three quarters of the economists on Wall Street saying that we have already been in recession for a while. At TD AMERITRADE, in the face of what has been an incredibly tough market, we had a great quarter. At $0.31, we came in at the top end of our guidance. And I think there were three reasons for this. First, our balance sheet, how we have been managing it, how we are managing it, and how we continue to manage it. It takes great sensitivity with regards to the risk reward that we are actually taking in an awareness that we exist in that arena for the benefit of our shareholders and our clients. Second, we continue to see solid engagement on the part of the retail investor. And third and what I am most pleased with is that we continue to see traction for the second quarter in a row with regard to our asset gathering strategy. Let me go over the numbers on the next slide. We came in at $0.31. Our net revenues were $623 million. 60% of those were driven by our assets. Pre-tax income was $300 million. Our pre-tax margins were 48%. If you recall the outlook statement for the quarter, our range on pre-tax margins was 45% to 48%. We still believe that we will be above 50% pre-tax margins for the full year. Net income, $187 million; EBITDA, $344 million. Keep in mind that we paid $272 million to close Fiserv as part of the quarter. Our ROE was at 30%, and we have client assets and cash and money market funds both coming in at records at $306 billion and $50 billion. Now, I think I need to give a little color around client assets. That includes the $25 billion that we had gotten from Fiserv. And the $50 billion number, it is only 1 billion, both cash and money market funds that are part of that from Fiserv. Now, under normal conditions, it's about once a year where we give you an update of where we specifically stand as far as our RIA business goes, but I feel like it would be good today to give you some sort of an update there. And as of now, the RAA business has about $100 billion in assets, and we're a little over 4,500 in actual RIAs. The reason why we did the Fiserv deal is because there are only three client segments that we are aggressively focused on, the active trade with long-term investor and the RIA. Doing Fiserv adds scalability and functionality, and it's strategically important to us. And that's the reason why we want to do any deal. If you take a little closer look at the earnings on the next slide, on a year-over-year basis, our quarter is up 35%. If you break that down into its components, revenues were up 19% while expenses were up about 8%. A year ago we had pre-tax margins around 44%, today we got 48%. Now, here's a better look at the breakdown of the actual revenues. Revenues overall went from 525 million a year ago, to 623 this quarter that's up 19%. We break our revenues down based on how we do business according to our transactions, and according to those revenues that are driven by our assets. Our transaction based revenue was up 24%, and our asset based revenue is up 15%. We're going to give you more detail now on each of those components. Specifically with regards to our transactions, as I said a couple minutes ago, we continue to see a legitimate involvement on the part of the individual investor. 312,000 trades a day is what we average for the March quarter that's up 23% from where we were a year ago, and by the way, so far April to-date, the number is 280,000 trades a day. We continue to have the number one market position with regards to trading activity. While volatility will always be the number one driver of actual transaction business, because it's a one of the segments that we focus on, there are very real things we do there that we think also help make a positive difference in our numbers. So for example, things like educational seminars, the Apex events we run, and the functionality that StrategyDesk provides, where the client has the ability to go back and back test a particular trading theory, all those things we believe have a positive impact on what those numbers are. Another thing we think as a positive impact, especially for the active trader is a 70% of all of our trades for our clients actually see some sort of price improvement. That usually doubled what the national average is. And, I don't think you can look at what's going on in the transaction arena without specifically taking a look at what goes on in the options markets. Our options business was 11.5% of the overall transaction business. To put that in perspective, a year ago that was 9%. It will continue to be in area within transactions we're focus on for our active traders. And, that's the way we look with regards to the transaction component of our revenue. Now the next slide breaks down the revenue component that is driven by our assets. And, I said a couple of minutes ago that in the current market environment I am really very pleased with what we have done as far as this quarter goes. Within the quarter, the achievements with regards to the numbers as far as assets go is something that I am most proud of. Let's go right to the numbers. Client assets; $306 billion, that's up 8% year-over-year versus the S&P being down 7%. But, let's include Fiserv in that number or if you exclude that includes Fiserv; if you exclude Fiserv then our client assets are flat versus the S&P being down 7% over the same period. Net new assets, now for a year and a half, you have been asking, if you are think you're going to become an asset gatherer, then you've got to provide us with net new assets. We said, a year ago we wanted to wait until the end of the conversion. We did reference these numbers last quarter. We are six months into the conversion. We are now going to provide you with net new assets on a quarterly basis. So, when you look at net new assets year-to-date, the first and second quarter so far, they are $16 billion. To put those in context, that's about double where they would have been over the same period a year ago. Then we break the assets down into to those that generate revenues for us, and we break them down into spread based assets, which used to be the investable assets, and our fee based assets. The fee based is around the top. As of the March quarter a year ago, total revenue earnings assets were around $77.5 billion. At the end of March this year, that number was around $90 billion. That's up 16%. That does not include any of the Fiserv numbers. The Fiserv numbers you can factor in the next bar chart. And, most of that growth that we have seen over the span of the year has come in the last two quarters. Now, there were a lot of sessions that we had together, where the only thing we talked about was the 2006 to 2008 philosophy. And all we said was, everything that we are doing in 2006, and everything we are going in 2007, is geared to us being able to rollout and execute our asset gathering strategy in 2008. That's when we hope you are going to actually start to see some traction. A year ago also, there was a lot of discussion around some of the investments. And then again, last quarter, some of the investments that we were going to make where we were in effect going to reallocate some of our pre-tax margins into reinvestments in our business, because we thought that would help us better implement our asset gathering and strategy, and provide us with greater sustainable longer-term earnings. We are doing everything we said we were going to do in 2006 and 2007. And the investments that we've made over the span of the last year or so are absolutely paying off. The marketing campaign emphasizes retirement and emphasizes needs and tools for the long-term investor we believe is paying dividends. Our sales efforts, we absolutely believe, are paying dividends. We see better productivity out of the branches than we have ever before. And if you recall, our call centers' entire objective used to be service, now with service and sales. Six months ago, there were zero referrals from the call centers to any of our investment counselors. Today, we are averaging 400 referrals a day. So while it's still early, we are delivering the things that we told you over the span of the less two-and-half years we were going to deliver, and I think there wasn't any question that we are gaining traction as asset gatherers. And frankly, I am very pleased with what that progress is. And finally the last slide talks about the guidance for the rest of the year. And we are reaffirming our guidance at $1.32, which is up 25% from where we were a year ago. Now, there are four components that we look at very carefully when we do that. So I am going to walk you through those one by one. For the third and fourth quarter, trades per day, we're leaving those unchanged relative to the outlook. What's in the outlook is going to stay in the outlook. So, we're not changing trades for the third and fourth quarter. Our expenses, we're leaving flat as in the third and fourth quarter. At the beginning of the year, we established a goal on our revenue earning access up 16%. I told you at the beginning of the year I think that was a very aggressive goal. I told you that last quarter. I still think it's an aggressive goal that we are in track to do. We're going to continue to have that same goal. So, there is no change there. Net interest margin with the funds rate that may cut 200 basis points in the quarter, which should impact us about $0.03 negatively as far as the rest of the quarter goes. And bottomline, that gives us the $1.32 as far as our overall annual guidance goes. That's our best estimate to that right now. I said last quarter that I recognize we have a larger cash position than we normally have, but I said in this type of environment, there are times when assets come up either more reasonably priced or they're just more opportunistic types of situations that may be in more positive environments might not happen. We believe that it's in the best longer-term interest of the TD AMERITRADE shareholders for us to keep our powder dry and have more than normal cash on hand. And we will do that for a little while going forward. With that, I want to spend a moment on what we're seeing and what our philosophy will be with regards to this economy, this market and our client base. Many of you know that we actually do survey our clients on a regular basis. 75% of the client survey tells us, they believe we're in a recession. 50% of those clients tell us that they have actually already started to cut back or will cut back on their actual spending. We already know that of the actual economists on Wall Street, 75% say we are in a recession. Well, our job is to run our company as best we can in good times and bad times and no matter how much redirect might exist with regards to the recession and the problems in the vows that we are involved with. The reality is, is that there is no stronger, no more resilient economy in the world than that of the United States. History tells us if you stepped up and invested during these types of periods almost always, longer term down the road, those became great investments. Now, our clients can't go through all the things that they have gone though over the span of the last 10 years frankly without being more sophisticated than they have ever been. I think that's true in general of the individual investor, but that doesn't mean that they don't need some help. It doesn't mean that they don't need some education. It doesn't mean that they don't need their hands helped. So, we are going to be aggressively, have been and we will continue to aggressively communicate with our clients. This is not the time for them to be emotional. It's the time to be disciplined. Dollar cost averaging is a wise approach to the markets here. They should be reviewing their risk profiles as well as their asset allocation. And it's our job to help them be able to do that by frankly providing them better education about what's going on in the market in general and teaching them how to use some of the tools that we have like Wealth Builder or Bond Wizard. Our philosophy I think for the last seven years, if we are really able to step up for our clients and shareholders in a difficult market environment, we are going to get more than our fair share of business when the markets turn positive. And remember, our markets are in a cycle, we are in the down part of the cycle. It will take a little bit time, but we will pull out of this and we'll be even stronger before. That's not just TD AMERITRADE, but the financial sector and our economy in general. With that, let me turn it over to our CFO, Bill Gerber.
Bill Gerber: Thanks, Jim. As Joe mentioned at the start of the call, the March quarter has been a challenging one for the markets, and especially for financial services companies. However, we have delivered solid results thanks to three things: One, a focus on our core business; two, a focus on our long-term growth; and three, avoiding proprietary risk on our balance sheet. I'll talk about the March quarter in more detail in a moment, but first I wanted to give you an overview on our first six months of fiscal 2008 on slide nine. As you can see, our revenues are up to almost $1.3 billion, a 19% increase from the same period last year. Of note as well, our pre-tax margins for the six months are at 52%. Our cash flow continues to be a strong point for us. We brought in almost $750 million in EBITDA or 59% of our bet revenues. This is a 31% increase over 2007 levels. And finally, our EPS has increased over 50% to $0.71 per share. This is the type of financial leverage we are looking for, revenues up 19%, but EPS up over 50%. We are very proud of these results but to have these results in the markets that have existed over the last twelve months highlights that the strategic decisions we have made regarding our business plan are sound. So let's look at the March quarter specifically on slide ten. As Joe mentioned, we made $0.31 per share in the quarter up 35% from the same quarter last year. Our net revenue was $623 million, up $98 million from last year. Important to note here is that approximately 60% of our net revenues are asset based, reinforcing the stability of our overall revenue stream. Our transaction based revenue of $245 million increased $50 million year-over-year as our clients remained engaged in the markets. Our increased trading activity was the primary reason for the additional revenue as a result of trading 312,000 trades per day or a 4.7% activity rate up 58,000 trades or 23% from the same quarter last year. Additionally our average commission rate was up $0.24 to $12.86 as the percentage of option trades continues to increase and our payment for order flow remained strong. Asset based revenue, which is a combination of fee-based and spread-based revenues came in at $372 million up $49 million year-over-year. We saw $22 million or 39% increase in fee-based revenue, 85% of which is due to organic growth and the remainder due to Fiserv. The added balances for Fiserv earned a slightly lower rate as compared to legacy business driving the blended rate down to 43 basis points. And, recall that mutual funds, money markets funds, Amerivest and other products are the drivers of fee-based revenues. Spread-based revenues were up $27 million or 10% to $294 million from the same quarter last year. Spread-based revenues are primarily our MMDA program, margin loans and stock borrow, stock loan business. About 85% of the 27 million increase year-over-year is organic growth, split two-thirds net interest margin related and one-third balances related. The remaining 15% comes from Fiserv. With the recent Fed cuts, we have actually been able to expand our net interest margin by seven basis points over the same quarter last year. This is primarily driven by the extension strategy we put in place on the MMDA portfolio over the past two years. Our earn rate on that portfolio has declined less than the pay rate to the clients resulting in a wider spread. So, as the earn rate on the MMDA portfolio continues to decline, since the reinvestment rate is much lower than the current earn rates, we will likely see compression in the net interest margin from MMDA over the next few quarters. Additionally, the 200 basis points Fed cuts this quarter also affected our margin loan rates. This will also reduce our net interest margin for the rest of the year. You can see our outlook statement out in the web for more details. Now for expenses, you'll recall that the March quarter last year was the last fourth quarter before we consolidated the legacy Waterhouse clearing platform on to our current platform. The conversion resulted in the last of our synergies. These expense reductions have been offset by the investments for growth, which we have discussed over the last year. Thanks to our investments for growth, we have accelerated our sales efforts and are operating with a full sales team. Additionally, we added Fiserv this quarter, effective February 4th. The last item driving additional expenses, as I mentioned before, is that we had 58,000 additional trades per day in the March 2008 quarter versus last year. The net of all this is that expenses excluding advertising are up $19 million or 7% year-over-year, and they are in line with our outlook guidance. The principle element of the expense fluctuation is employee compensation, which was up $23 million, primarily as we added new associates from the investments for growth and as we continue to reward our people for their performance. Other important expense fluctuations. Our clearing and execution is down $13 million as a direct result of the conversion as is communications, which was down 7 million for the same reason. Interest-owned borrowing is also down by approximately $9 million as a result of debt payments and lower interest rates in the last 12 months. Offsetting these decreases were increases in occupancy and equipment of $8 million, as we continue to upgrade our systems throughout the company, an increase of $7 million in professional services, primarily from technology contractors helping us to get new product and functionality to market, and other expense increased $6 million primarily from bad debt this quarter, half of which is the result of Bear Stearns' stock drop. We are pleased with what we were seeing in the continued traction from our advertising spend. During the quarter, we spent approximately $47 million in advertising, an increase of $4 million year-over-year, resulting in 214,000 new accounts with the cost per account of $221. This is the most new accounts in any quarter since our fiscal 2000. The advertising spend was also within our outlook range. Lastly, as you can see, our effective tax-rate for the quarter was 37.8% versus last year's rate of 38.6%. Our state tax rate continues to come down as our income shifts from higher tax states to lower tax states. Now, let's turn to liquid assets for the quarter on slide 11. Once again, we have excelled as a cash generator, which allows us to be flexible in making financial decisions that best impact the company. We started the quarter at $618 million in liquid assets. We earned $187 million in net income and had $24 million in depreciation and amortization. As Joe mentioned, we used $272 million for the purchase of Fiserv, which includes the $225 million purchase price, plus an additional $47 million for the net regulatory capital. We used an additional $2 million net for regulatory capital expenditures and other expenditures. We made $9 million in mandatory debt payments, and we used $29 million to buyback 1.7 million shares of our stock. That leaves us with $517 million in liquid assets. As we've said before, there are only five ways in which we can use our cash: debt repayment, stock buyback, acquisitions, funding organic growth or pay a dividend. Since our $6 per share dividend in January 2007, we have done four of the five possible cash uses with regularity. We continually evaluate the amount of liquid assets to be held at the company in this economic environment. As Joe mentioned, when we enter a down-cycle in the markets, it can be a good thing to have a little extra cash on hand. We will continue to update you every quarter on this topic of course. Additionally, we will continue to review our capital structure and opportunities available to us with our Board to determine the optimal uses of our free cash flow. Now, let's go to slide 12. I would like to take a moment as I did last quarter to talk about sensitivity. In light of everything that's going on in the markets today, we want to be upfront with you on how various changes could impact our earnings. Nothing has changed on this slide since last quarter with the exception of our note on any future Fed moves. An additional cut of 25 basis points will likely cost us a penny in annualized EPS. All the other metrics on this slide are unchanged. 3,000 trades per day, $2 billion in fee-based assets, $250 million in spread-based assets or 25,000 new accounts, each represent about $0.01 in annual EPS. In summary on slide 13, we are realizing growth in a very difficult market. While the Fed's moves have impacted us slightly, we are confident that we can balance that impact by continuing to deliver organic growth. We continue to stand behind our 2008 midpoint of $1.32. Traction continues in our asset gathering efforts. Our investments for growth have allowed us to dedicate more resources to this strategy, and we continue to see strong results for the second quarter in a row. All of these results are a credit to our strong, conservative balance sheet. As you all know, we have long believed in conservative prudent system management and transparency at every level with a focus on long-term growth. Staying this course has allowed us to continue fine-tuning our asset gathering efforts, delivering products and services to our clients and helping them navigate these volatile market conditions. And finally, we continue to generate significant cash. This has been a strong quarter for TD AMERITRADE in a very tough market. We are confident there aren't many firms, especially those in financial services that can boast 35% growth in EPS year-over-year. We are very proud of our team in delivering those results and look forward to the remainder of 2008. And with that I'll turn the call over to the operator and we'll begin the Q&A.
Operator: Thank you, sir. (Operator Instruction) Our first question will come from Howard Chen, Credit Suisse. Please go ahead.
Howard Chen: Good morning Joe and good morning Bill.
Joe Moglia: Morning, Howard.
Howard Chen: Thanks for the color and congrats on the 16 billion and net new assets.
Joe Moglia: Thank you.
Howard Chen: Can you provide any more color on whether that is just coming in by other product asset class or channel, and I know it’s early, but is there any specific product or channel you're seeing outside the growth then that you want share?
Joe Moglia: Right now Howard, I would say that we're not going to be breaking out the breakdown in net new assets by either client segment or by product group but sufficed to say that what happens here at TD AMERITRADE, when we go with a particular product or we go with a particular pilot or effort, if it doesn’t work we frankly eliminate it and we become more aggressive with some of the other things. So, what actually exists to day is the stuff across the board that happens to be working for us, and we look at it as a comprehensive offering to the respective client segments. But, I don't expect this we're going to be breaking that out in more detail.
Howard Chen: Okay. And, then on the RIA business, you continue to be pretty healthy asset growth there. I know your strategy is more one of a market share gain, but I’m curious with all the disruptions at the Waterhouses -- are you seeing any accelerated growth in the overall number of RIAs and advisors leaving the traditional broker houses?
Joe Moglia: Yeah, I don't know if we’re specifically seeing an acceleration in that growth. We continue to see the type of growth that we have been seeing. But, I do think as we go forward, that the Waterhouses will continue to see individual consultants that recognize, they are going to be better off on their own. So, it has been a pretty fast growing sector. It’s still looks today and I think it continues to be. If we have seen an acceleration Howard, it's been a quarter or so. The bottom-line is I expect it to continue to be a good grower over the span of the next several years.
Howard Chen: Great, thanks. And then, I know you have de-emphasized qualified accounts over the last few quarters, but, I mean you are seeing continued signs of growth there, and that number has been a bit stagnant over the last few quarters. Any anecdotal evidence of where that's coming? Is it more towards post clearing conversion this time last year? You are starting to see a higher the net worth of better customer coming?
Joe Moglia: Yeah Howard, no not necessarily, I mean, the customers that have been coming in -- our new accounts have been good solid accounts. Okay, of the qualified accounts we have, part of the reason why there has been a jump in the qualified accounts is because Fiserv has helped that. I think the thing that probably hurts the qualified accounts the most based on our $2000 threshold, is frankly just the market movement and the actual market value of the particular account. So, if you were to extract out the Fiserv accounts, you'd wind up seeing the qualified accounts is still flat-to-down a little bit from where they have been. So, as much progress we're making in every other area, specifically when it comes to qualified accounts, we are still not seeing a much there and that suggesting to us just frankly as we reinforces in a quarter-over-quarter that that seems to be more market related than it might be in terms of business plan organic growth related.
Howard Chen: Okay, so the gains seemingly are more volunteer gains that you are making?
Joe Moglia: That’s correct.
Howard Chen: And then Bill, on the step up in the professional expense, since you mentioned in your prepared remarks some technology cost related to building up some technology, is that should we think of that as more of an ongoing or one time in nature through this fiscal year?
Bill Gerber: I think, it will go on through the fiscal Howard, so I wouldn’t eliminate that after this quarter.
Howard Chen: Okay, and then last one is for you Bill. Can you elaborate a bit on what the company can do, and what you can do to protect net interest margin a bit, whether it be margin on pricing, extension of the securities portfolio, and/or taking advantage of a steeper your curve? I know you’ve mentioned some of these in your prepared remarks but maybe a little bit more detail if you could?
Bill Gerber: Sure, I mean, one of the thing certainly, because we control the credit side you always look at that, but we also control the margin rate side and there is risk in margin lending, and we just have to evaluate if the rate comes down, if it comes down even further, whether or not we are going to have our rack rate come down as well. So, that is just a business decision. It's something that we look at regularly. It's not something we just look at when the Fed moves. But, that’s probably the biggest one at our disposal.
Joe Moglia: I think also to add to that Howard, the biggest thing that we will take advantage of is what's going to happen to the shape of the curve, and that won’t be something we will set in early on and just ride. We’ll take advantage of significant curve shifts, the steepness at those points sometime.
Howard Chen: Great, thanks so much Joe. Thanks, Bill.
Bill Gerber: Okay, Howard.
Joe Moglia: Thanks, Howard.
Operator: And, it looks like we’ll now move to our next caller, and it will be Richard Repetto, Sandler O’Neill. Go ahead.
Richard Repetto: Yeah, good morning guys.
Joe Moglia: Good morning, Rich.
Richard Repetto: First, thanks for those uplifting and inspirational comments on the US economy, Joe.
Joe Moglia: Rich, I am glad I am making your day a little bit better.
Richard Repetto: At 4:30 in the West Coast, you did make it better. Anyways, looking at the guidance which report over here this morning, Bill, one of the offsets when rates go down is your own interest expense, and in the guidance, it shows that it is going down over the back two quarters by in total about $13 million to $14 million.
Bill Gerber: Right.
Richard Repetto: As rates go down. So, I guess my question is your expenses, your just general guidance on expenses didn't go down and interest expense is one of those expenses I believe…
Bill Gerber: Right.
Richard Repetto: So why didn't we take down expenses by that $13 million or penny or so in the back two quarters?
Bill Gerber: Because we think that during the next six months, we have an opportunity to get some things done that we need to get done before the end of the fiscal year, and so we're willing to mark that money for that purpose. So, you are exactly right. We've essentially substituted the interest savings with building up our own product.
Richard Repetto: Okay. Well, then some might interpret that as there is another penny of the investment spending coming in here than in the back half. Is that --?
Bill Gerber: Yes, that'd be fair.
Richard Repetto: Okay. And then the next thing is we're maintaining the $1.32 midpoint guidance and $0.03 up in the quarter and I get all that, but if you look at your guidance the midpoint of the pre-tax income came down by about $13 million, which would be penny. So I guess the point that tipped me off is that tax rate or denominated the shares outstanding different here?
Bill Gerber: The tax rate, we expect that the tax rate is going to be 38%. We've historically been around 39%, but we think that we've finally broken through and are able to keep the tax rate around 38%.
Richard Repetto: Got you. Okay. And then the very last thing, Joe, We've had a couple of quarters, I'm not sure whether it's a full couple of quarters, but with the investment spending, you've shown positive results. I'm just trying to see the takeaway, your knowledge of what you can accomplish with the spending. I'm not saying we got the full benefit, but, do you feel comfortable with understanding how you can push that lever of investment spending, or is it still half way there in learning about what we can spend versus what we can get on that spending?
Joe Moglia: Yes, you know Richard, I'd like think that while we might have a reasonable understanding in terms of what we want to do right now, or what we may want to do in the future, I think frankly anytime you look at an increase in reinvestment, you've got to break it down into its components. Now, what happens is some of the components are really outstanding, and we need to be more aggressive there, and we don't hesitate to do that or some of them are not necessarily as good as what we thought. So, I'd like to believe that literally for the rest of our lives while we will not hesitate to make a move along those lines as long as we believe it will be good for our long term earnings, we also won't hesitate to say this particular concept or this particular reinvestment is just not working for us. So, we think we know what we're doing. We think we're on top of it, but frankly every time we go through this exercise, it's a learning experience, because you don't know exactly what's going to work in the future. I think the one thing that we do come away with a great degree of confidence in is that when we try to expand our sales force, and as long as we're sensitive to the productivity of that sales force and what the real objective of that sales force is, adding to our sales force is a good thing. For the call center reps to be able to understand how to ask for, you know, "Are you okay, Mr. Client, Mrs. Client, with your retirement plan, we know those things are all positive. We've got to get better at them, but we know those things make a difference.
Richard Repetto: Okay. Thanks a lot. Thanks again for the inspiration.
Joe Moglia: Thanks, Rich.
Operator: And we will now move to Prashant Bhatia with Citi. Go ahead, sir.
Prashant Bhatia: Hi.
Joe Moglia: Hi, Prashant.
Prashant Bhatia: Just on the referrals, you talked about 400 referrals a day. Could you give us an idea of what clients are really looking for there, and maybe what some of the outcome is after those referrals take place? Is it a sale of the new product, or is there any kind of general trend you are seeing there?
Joe Moglia: Yes, I think the simplest one that happens most of the time deals with retirement. The number one concern of any baby boomer in this country is, "Am I going to be okay in retirement." So for us to be able to ask that simple question often necessitates some sort of response on the part of the individual, "Well, no I am not quite as comfortable as I'd like to be." And then we have the things like Amerivest to be able to help you or TDAX's Independent life cycle funds that potentially can help you with that. And then we make that referral along that way to the investment consultant. So, that would be the first. And you can expand from there to, "Are you comfortable with your fixed income? You have two little kids and you are comfortable with your resources to be able to put them through college". And that's the way we would approach that.
Prashant Bhatia: Okay. And I guess, if we do go into a downturn here, you could actually see a lot more clients reaching out for help. Could you just update us on how many salespeople you have at this point in the branches and maybe, where you think that might end the year at?
Joe Moglia: Yeah, I think we have approximately 750 and we’re going to do to double check that number. We’ve got around 750 now, that’s significantly more than what we had a year or so ago, and I think, I will give, the sales effort is lead by John Bunch who reports to Fred and the bottom-line there is, I think both John and Fred know that we are never going to let a good sales person go that has any interest in coming here. And, the sales force would always be an area we would look to expand. We just don’t want to do it with blindfolds on. So, we are not looking at bringing anybody, but if we can bring in good solid people, we will not hesitate to do that. And I am exaggerating, so I’m suggesting that nobody write this down. But if that meant if five years from now we could have 10,000 sales people that would be fine. I don’t see that happening. Okay, but that would be the way we would approach that.
Prashant Bhatia: Okay. Great, and just on the acquisition front, you talked about assets potentially getting cheaper. Do you think at any point you would think strategically to acquire a regional broker or to go down more that full service path or is that still strategically really not on the table?
Joe Moglia: You know, I think for the most part, I think strategically it's supposed to be something we always ask ourselves about. As of right now at least, we say that’s not the best step at this particular point of time in our development. That doesn’t mean they may not be the case two or three years from now Prashant. So, it's always something that gets on the table, but it hasn’t stayed on the table for long.
Prashant Bhatia: Okay. And, then just finally the new relationships coming in the door, the brand new customers, has the composition, the asset composition changed for that new customer versus say a year ago, now that you have the branches, the advisers and so on?
Joe Moglia: Yeah it’s about the same as where as where it has been.
Prashant Bhatia: Okay. Great thank you. Joe Moglia Thanks Prashant.
Operator: Now, Mike Vinciquerra with BMO Capital Markets will have the next question.
Mike Vinciquerra: Good morning.
Bill Gerber: Morning Mike.
Mike Vinciquerra: Question for Bill, I wanted to just look at the expenses again, one thing that you mentioned something about Bear Stearns and the other operating expenses, can you just delve into that and tell us what the impact was and why?
Bill Gerber: Yeah, it was bad debt in there Mike, of about 3 million. and essentially it was just the stock drop, I mean this on margin and the stock obviously gapped way down and we weren’t unable to get out. So, we're trying to recover it, but we had take $3 million hit in the quarter.
Mike Vinciquerra: I see, so purely client driven margin balances outstanding debt.
Bill Gerber: Exactly.
Mike Vinciquerra: Okay. Got it, okay. And, then could you give us a sense for where the fixed cost base was during the March quarter, maybe kind of breaking out the performance based expenses and maybe non-recurring cost like the Bear Stearns, if you?
Bill Gerber: That will going to take me a couple of minutes Mike. So, I might have to pause on that one and go into the next question.
Mike Vinciquerra: Sure, okay. Staying on the expense side, the clearing and execution cost were substantially below last quarter and what we would have expected given your trading activity. Is this the current run rate now? Why wouldn’t we have seen the full benefit of your conversion in say the December quarter in terms of your expense ratio and clearing versus the trading activity?
Bill Gerber: We were and in this quarter as well there was a refund that we got from the NASD that reduced that expense for a couple of million bucks, but I would say that the current run rate plus the 2 million would be about (inaudible).
Mike Vinciquerra: Got it okay. Thank you. And then just last thing for Joe, the bigger picture looking at your clients, number one question I seem to get from people is, should we be expecting as we’ve seen in previous cycles, some disengagement by the retail investor given what's going on to the marketplace right now? Is that something you guys are going to be contemplating, and then secondarily in this quarter, the seven billion in net new assets, how much of that do you think was driven by just seasonality with tax refunds, season in RIA, season everything, is there anything that we should think about there that may not be recurring in the June quarter?
Joe Moglia: Yeah, I think well first as far as the client base goes, you've heard me talk a lot of their lagging indicator in terms of what goes out in the market, but the markets have been so, while the trend has been downward, there has been so much volatility they have stayed involved. And, then based on the times we hide from the media, well it looks like gloom and doom, all of a sudden somebody comes in and the Fed comes to somebody's rescue and the markets thinks everything is okay for little while. And, so consequently that type of volatility has kept the client base involved. My concern is now that we are past tax time etcetera, if indeed the market is quite a down a little bit, but kind of stay continue in the negative trend, I think it make sense for us to expect that the clients will back off. We’ve already seen them get a little bit more involved with their cash positions as well as short fixed income instruments, and if the markets continued with a little less volatility, but along the lines of the downward trend over the span of next few months, I would expect a decrease in activity on the part of the client. With regards to the net new assets, as far as the quarter goes, remember there is an E-trade factor here that would have been evident in January. That was not evident in February or March. So, we are totally back to what normal historical ratios might be between our sales, and frankly anybody else on the street. That might not have been the case still in January. So, January, we probably saw a little better success with those numbers than what we may have. To what extent does the tax season have something to do with this? I would say it has got something to do with it. But in terms of the numbers that we actually achieved for the second quarter, I think they were pretty good. It's a reasonable presume that they maybe less going in the third, fourth quarter, I think that that's fare.
Mike Vinciquerra: Okay, that's helpful, Joe. And like Rich, I also thought I heard the start spangled banner playing behind your commentary. Well, thank you for that.
Joe Moglia: Thanks, Mike.
Mike Vinciquerra: Take care.
Operator: Now moving to Mike Carrier with UBS.
Mike Carrier: Thanks, guys.
Joe Moglia: Hi, Mike.
Mike Carrier: Just a follow up I think the on the rate outlook or the (inaudible) B027, 1.00, I just look at the outlook statements, and it looks like you guys are down about $45 million there from the prior statement, just on the net interest income, which is in line with what you guys had in the 10-K. But if I look at what your guidance is in terms of where you think fed funds are going to be versus where they are currently and then taking into consideration that sensitivity of other 25 basis point cut will be a penny hit their earnings, what is your current expectation or outlook for fed funds?
Bill Gerber: We actually keep fed funds constant as where they are right now when we're doing the outlook on them.
Mike Carrier: Okay. And then jut on the MMVA side, it looks like that at least what you guys are realizing is going to be flat. And I understand like the latter approach on the asset side. Is either TD or the client either going to be receding less money just given the rates on the short-term end?
Bill Gerber: The rate on the MMVA and the current rate has declined, and so that has been done and it's fixed where it is now in the forecast. So, we are not forecasting any further rate cuts there.
Mike Carrier: Okay. And then just on the expenses, I think I remember when you guys announced the Fiserv acquisition, it was something like a $40 million expense base on an annual basis. So, just when I look in the quarter some of the items that were higher, whether it's comp or occupancy, D&A, professional or other, is there any one bucket where most of the Fiserv expenses were and then should we expect some of those to come out as you can work through some synergies?
Bill Gerber: Yes, it's sitting mostly in the professional services as we are transitioning from using the Fiserv staff to get the business process right now. So until we get that business under our platform, we'll be having a slightly higher professional services fee.
Mike Carrier: Okay. And then just finally on the cash. Now that you are at or around the $500 million level you've paid for Fiserv, in this environment we've clearly seen in the financial services sector that having some dry powder is very beneficial, or it can be. Just wondering at what level do you think that you have enough cash that the stock remains attractive to you, that you'll at least incrementally increase the buybacks?
Joe Moglia: Yes, I think, Mike, from our perspective on that, a lot of that is very much related to what's going on in the market and the economy. So let's make believe that six months from now and the $500 million is a $1 billion and the markets are still going through significant heartache and anxiety. I mean we would look at that then, but because of what's going on in the markets, we might say, "Why don't we relax a little while and give it another quarter or two." That's literally the way we'd approach that. If the markets were more of a positive environment, and we may not see as significant an opportunity by keeping our powder dry, we'll be much more aggressive with other alternatives. We wouldn't make that decision now. We've always said with this, the way we manage our cash positions, it's something we look at dynamically in light of a lot of other things and frankly we chat about this probably every week.
Mike Carrier: Okay, thanks a lot.
Joe Moglia: Well thanks a lot.
Operator: Now moving to Matt Fischer with Deutsche Bank.
Matt Fischer: Hey guys.
Joe Moglia: Hi Matt
Matt Fischer: First on net new assets, thanks for providing them, but now I am going to dig bit deeper. Just the E-trade factor, it was about 2 billion in the December quarter, is it fair to say that it was not as impactful this quarter or are we looking about similar?
Joe Moglia: No, it was definitely not -- let me repeat what I was saying earlier, so everybody has that. In the December quarter we said, so everybody was clear on it then, that the number then was 2.3.
Matt Fischer: Right.
Joe Moglia: All right. And, what I said earlier was we continue to see in flows in January. By the later part of January that was pretty much over with and all of February, all of March and since then back to normal historical standard. So, you should not assume anything as significant as the entire December quarter. What you should assume there was an up tick that existed because of that from January.
Matt Fischer: Okay, great.
Joe Moglia: Okay.
Matt Fischer: The, also with the -- just a clarification, the 750 roughly sales people these are all registered representatives in the branches?
Joe Moglia: Correct.
Matt Fischer: Okay. And, given what seems to pretty successful or positive performance in the branches, what are you plans to expand that network?
Joe Moglia: I was saying earlier that if indeed we believe there is an area geographically around the country where we should have representation and we don't, we will put an office there but more than likely we feel pretty good about where we are. So, the key for us is the productivity of each individual sales person as well as the productivity of the particular branch. So, we find that it’s more beneficial to expand the branch in an area that we now works and add a handful of sales people there then it is to just put branches up arbitrarily around the country, and we will not hesitate to do that anywhere where we think it makes sense.
Matt Fischer: Okay, great. I think all my other questions were answered. Thank you.
Bill Gerber: Mention not.
Operator: And it looks like we have time for one final question that will come from Michael Hecht with Banc of America.
Michael Hecht: Oh hey, thanks guys.
Bill Gerber: Good morning.
Joe Moglia: Hey Mike.
Michael Hecht: Good morning. I just hope that you gave a little bit more on the mix of fee based assets, I guess across money funds versus Amerivest, NTF funds, I mean, just broadly and maybe where you guys are seeing the best growth?
Joe Moglia: Yeah, we're not going to give you that type of detail Mike, but we're going to give you information every, if not -- do we get this monthly?
Bill Gerber: I don't know when.
Joe Moglia: Yeah, we give monthly as to where those numbers are, but I don't anticipate us giving you the individual breakdown within that, we forget at this time.
Michael Hecht: Okay. And, I’m sorry if I miss this, I got in little late, did you guys give where the RIA business assets for a quarter end versus the end of the year?
Joe Moglia: Yes, we said with the close of Fiserv, RIA assets are at about 100 billion, and we have a little more than 4500 individual RIAs.
Michael Hecht: Okay, and then I guess going back to the flows you guys are seeing, I know you don't want to give a lot of color by business, but I’m just wondering to get a sense as to whether these are coming more from existing clients, are you seeing more coming from new clients?
Joe Moglia: We're seeing both. Yeah, we are seeing more of our own clients bring more money into the firm, which we fell good about as far as share volatiles, and we continue to open up genuinely brand new accounts for people that have not had a relationship with us before. We feel good about what we're seeing there.
Michael Hecht: Okay, and then in terms of the new client wins or kind of quays in versus quays out, and I am not looking for any color by competitor, and I either got the comments on each rate, but just kind of broadly, what types of firms you think you guys are gaining shares from? Is it more the wirehouses versus some of your direct discount competitors versus banks?
Joe Moglia: No, I think what we are starting to see now a little bit more than the past -- remember we didn't have a comprehensive long-term investor offering. Now we have that. And we have said that our objective and our goal as far as business plan goes is to focus on the mass affluent client in the United States. The typical full commission firm in the United States, while they say they have a retail business or private client business, they really don't. They really have a high net worth business. So, our focus is more on mass affluent, and we do tend to get that more mass affluent client. Therefore from full commission firms that maybe on the normal circumstances or (inaudible) 031, 1.06 thought we might not have gotten. Now having said that, we talked about this a while ago and the reason why we don't talk about ACAT specifically anymore is because those numbers are just not that large. What actually happens, and this happens with us, with people potentially leaving us as well, a client doesn't usually close his account down altogether. They kind of open account somewhere else. They may transfer some money. They may not, but they bring their marginal money and new money maybe to the other firm. So, you don't always see that in ACAT. That's why we are focused so much just on the overall numbers.
Michael Hecht: Okay. That's fair enough. And then on the comp expense, which was fair amount higher. I know you guys said partially it's a function of the investments and growth. But 21.2% of revenues quite a bit higher than it's been in a while. I guess it was about 19.5% last year and 18% to 19% for last two years. I mean given the continued investments you just talked about, should we think about this as a new kind of a run rate and at least partially a function of the growth you are seeing on the fee-based side where you have less scale than you do on the transactional side?
Joe Moglia: I can appreciate the comment that this is new. But again, the 2006 to 2008 philosophy, we said one of the things that we are going to need to do is move to more of a sales organization. So, we have been saying that all along. So, the fact that we had 19% ratio with regards to employee expenses versus overall revenues, but that was incredibly low I think. And I think 21% is still very, very reasonable. I mean the bulk of that as we said has gone into our sales effort, not just in the branches, but also in the service center as well, so we provide better service and more sales oriented service. We are going to continue to do that. Well, that's been part of the plan. And while the numbers may appear new, remember that that plan we've been talking about for the last couple of years, I would expect that to continue. And if the employee expense creeps up because of that, it will be something that's not going to creep by accident, but it will be something that may creep up by design.
Michael Hecht: Okay. That's fair enough. And then just on outlook for consolidation in the space, obviously things with E-Trade have cooled with them turning their attention more inward to deal with their issues. But do you expect broadly consolidation to continue and maybe beyond the big headline deals in any product areas you guys looked at through consolidation like futures or FX trading or bolstering your options capability? I know you guys have been investing in already anyway.
Joe Moglia: Yes, I think the answer is yes. As I said earlier, during these types of environments, I think it is a good opportunity to look for other firms that have a specific specialization in a particular product area or has something that that they really can bring to the table that that would enhance our overall strategy away from a big headline deal. I also think frankly, away from online brokerage on a global basis in terms of financial services and frankly with all the stuff that has taken place, you should see far more consolidation in financial services globally away from online brokerage and what we've seen up until now. That's nothing to do with us.
Michael Hecht: Right, okay.
Joe Moglia: Unless we buy Goldman Sachs.
Michael Hecht: Okay.
Joe Moglia: And, by the way just in case if somebody out there, I was kidding.
Michael Hecht: Okay. Just last question, I am sorry took us over to argue, but just any talents on outlook for pricing, we did see a small tweak out of, through out last quarter to 895 for their higher end clients, are you guys feeling any pressure to revisit pricing at this point?
Joe Moglia: It’s not a matter of revisiting pricing. Mike, we look at pricing all the time and literally we probably have a discussion probably every month or so if we find anybody in the marketplace doing anything we discuss it again then. And, I think the key to pricing is the ability to balance your profitability with your market share. And, we feel good with the value proposition we provide our clients. We think our clients feel pretty good about it, and right now at least, I believe, always continue to look at it, but we feel good about where we are, and I don't anticipate any significant changes in pricing in the industry.
Michael Hecht: Okay. Great fair enough. Thanks.
Operator: And that does conclude the question and answer session. I will turn the call back over to your host for closing remarks.
Joe Moglia: Well folks, I very much appreciate you’ve taken the time to join us this morning and for those of you who had to get up at 2'o clock in the morning on the West Coast I really appreciate all of your efforts. But sufficed to say that I know there is a difficult time for Wall Street. It’s a difficult time for what's going on in the US in general and it’s been difficult time serving for financial services. I feel good with what we have done, what we have promised, where we are and where we are headed. And, I appreciate you taking time to join us this morning. Take care, everybody.
Operator: And, that does conclude your conference for today. Thank you for your participations.